Alex Ng: Good afternoon, and welcome to Stolt-Nielsen's earnings call for the final quarter of 2025. As always, the earnings release and related materials are available on our website. We'll be recording this session and playback will be available on our website from tomorrow. Included in this presentation are various forward-looking statements. Such forward-looking statements are subject to risks and uncertainties, and we refer you to our latest annual report for further details. I'm Alex Ng, Vice President of Corporate Development and Strategy. Joining me today are Udo Lange, our CEO, and Jens Gruner-Hegge, our CFO. At the end of our presentation, there will be a Q&A session where we'll be taking questions in the room and online. [Operator Instructions] Thank you, and over to you, Udo.
Udo Lange: Yes. Thank you so much, Alex, and welcome, everyone, here in London and of course, on the call as well, and thanks for joining us today for our fourth quarter results. The presentation will follow the usual format. I will begin with an overview of the group's results for the quarter and the full year, and then Jens will cover the financials before handing back to me to run through the performance of our divisions, our view of the market outlook and a few concluding remarks. In an unpredictable and challenging market context, I'm really pleased that overall, Stolt-Nielsen has delivered a solid finish to 2025, achieving EBITDA of $186 million for Q4. This completes the year with $776 million in EBITDA, which was at the upper end of our guidance and the second highest EBITDA result achieved in our history. We continue to communicate that Stolt-Nielsen is not a shipping company, but a logistics business. Non-Stolt Tanker operations account for 57% of our asset base and 45% of our EBITDA. We are building our non-tankers earnings base through our capital investment program to continue to grow long-term sustainable cash flow for our shareholders. For this quarter, while Stolt Tankers EBITDA fell 18% from the same quarter last year, the resilience of the other areas of our business resulted in a 13% drop for the group overall. Optimizing value creation from our portfolio is the driver of our M&A activities. In the period, we acquired 100% of Suttons, a U.K.-based ISO tank operator through which we can leverage the scale and flexibility of Stolt Tank Containers' global platform to expand our service offering for our customers. Aligned to our strategy to grow Avenir whilst preserving balance sheet flexibility, we have also very recently announced that we are in discussions to sell down a portion of our equity in Avenir. We also issued a new Norwegian bond. It was one of the tightest spreads for a logistics company achieved in the Norwegian bond market, showing our good access to markets and the credit investors appreciate our portfolio, and the master of the bond is in the room, Julian, thanks for the outstanding work there. You'll remember that last year, we evolved how we communicate our earnings potential, aligning our EBITDA guidance with our business model for the full year. In 2025, we came in towards the top of our range, and we hope you find our transparency in this regard helpful, and we are committed to continuing with this approach. Based on what we know today, we expect that our 2026 EBITDA will be in a range of $600 million to $750 million. Jens will elaborate on this more a bit later, but I wanted to flag a couple of key points here. We are excited about integrating Suttons into our core business. However, there will be some integration costs this year and positive EBITDA impact from the Suttons business is not expected until 2027. This also assumes that the de-consolidation of EMEA is completed in line with our announcement on Monday, and that is, of course, relevant for the like-for-like year-over-year comparison. And we expect to be able to refine this range as the year progresses. Let's now turn the page to review our financial highlights. I'm really pleased with the results achieved in the quarter in a complex market backdrop. Operating revenue was down 4% or $29 million year-on-year, which is predominantly on account of weaker freight rates in Stolt Tankers. EBITDA before the adjustment for fair value came in at $186 million, down $27 million on last year due to lower rates in Stolt Tanker and in Tank Containers, partially offset by performance in our Gas operations. Operating profit was down year-over-year by $35 million, mainly due to the performance in Tankers and Tank Containers, plus additional depreciation from the consolidation of the Hassel Shipping 4 and Avenir. Net profit was also down, driven by the same factors as well as higher interest expenses. Free cash flow was down EUR 38 million year-over-year, driven by higher CapEx, including from the acquisition of Suttons International and new building deposits in our NST joint venture. Net debt-to-EBITDA has increased to 3.12x as a result of the investments we have made over the year. I will talk more about how we are investing for long-term growth a bit more later. Over the page, we look at some of the key drivers of performance. Looking at the snapshot of the whole year, we have delivered a solid performance with the second highest EBITDA result in the company's history despite demand headwinds from a weak global chemical market as well as geopolitical uncertainty and tariffs impacting sentiment. We have remained focused on our strategy and on supporting our businesses to maintain their leading market positions. Stolt Tankers earnings were impacted by ongoing geopolitical uncertainty with lower freight rates weighing on performance whilst volumes remained stable. Over the last 18 months at Stolthaven, we are focused on optimizing for higher-margin business. This strategy has delivered success in certain markets, and we end the year with average utilization for the year up slightly, a positive outcome in a difficult market. Tank Containers have also been navigating a highly competitive market and performance here has been impacted mainly by lower transport margins. For the year overall, the mix of EBITDA generated outside of Stolt Tankers increased to 43% from 35% last year. This is $40 million more than last year as investments across our portfolio, help diversify our earnings. Our global teams are doing a fantastic job of working together to help our customers keep their supply chains moving in a safe and reliable way. And I want to thank all our people for their dedication across the year. They truly live our purpose of moving today's products for tomorrow's possibilities. In November, we announced the acquisition of Suttons International, a U.K.-based ISO tank operator. I wanted to give you a bit of additional color on the rationale for the acquisition and how it supports the Tank-Container strategy. We acquired Suttons in November, adding over 11,000 ISO tank containers to the fleet, growing our fleet by around 20%. The acquisition is aligned with our corporate strategy to accelerate growth in one of our asset-light businesses, leveraging Stolt Tank Containers' global platform to support customers with efficiency, reliability and flexibility across their supply chains. We have been investing in creating a scalable global platform for Stolt Tank Containers, driven by a strong focus on digitalization and efficiency, and we aim to drive sustainable growth, operational consistency and improve customer outcomes by leveraging this platform to successfully embed Suttons within our business. Suttons not only brings tank capacity, but also enhances our customer offering as we bring in specific expertise in gas distribution, domestic short sea and China domestic services. With an expanded fleet, global reach, a more comprehensive service offering and an improved digital experience, customers will benefit from our scale, efficiency and global network. As we talked about it on our Capital Markets Day, the ISO tank container market is highly fragmented. As you can see here on the chart, this transaction cements Stolt Tank Containers' position as a leading ISO tank operator and gives us potential for further profit margin growth. As well in this market, we see low levels of new tank production and ongoing capacity rationalization, which we expect to lay the foundation for an eventual market recovery and Stolt Tank Containers will be well positioned to take advantage of a potential upturn. Our strategy puts our three most important stakeholders at the heart of everything we do, our shareholders, our customers and our people. We focus on developing our people to continuously improve our customer experience and on value creation for shareholders through our unique market leadership across liquid logistics and other business investments. We paid an interim dividend of $1 per share in December, which takes shareholder distributions since 2005 to over $1.4 billion. Our commitment to balancing distributions, conservative balance sheet and investing into our business is key to delivering long-term shareholder returns. Our unique position in liquid logistics benefits customers as they build and optimize robust supply chains in uncertain and demanding markets. 70% of our top 50 customers use more than one of our service, and we continue to outperform industry norms with respect to Net Promoter Scores. This year, the average Net Promoter Score of our Logistics businesses was 52, up from 40 in 2024. Our people are the beating heart of our business and their passion and commitment drive our success. This year, employee engagement remains strong. Our employee engagement survey showed a sustainable engagement score of 86%, outperforming industry's peers in all benchmark categories with also a record response rate of 91%. We have created a workplace where our people want to stay and the average tenure for Stolt-Nielsen employee is over 9 years. To support our strategy, we have been making targeted investments to position our business for long-term growth and to ensure our Liquids Logistics Solutions remain compelling for the future. We spent approximately $500 million in 2025 and increased our asset base to $5.8 billion. In 2026, we have plans to extend this further by around $380 million investments. We strengthened our market position and customer value proposition in all 3 logistics businesses. In Stolt Tank Containers, we continue to invest in assets to maintain our network, acquiring the remaining 50% in the Hassel Shipping 4 joint venture and ordering 2 additional modern fuel-efficient 38,000 deadweight new-builds with our joint venture partner, NYK. At Stolthaven terminals, we started construction of a new terminal in Turkey, while our terminal in Taiwan advanced towards operational status. And we invested to expand capacity in the U.S., Korea and New Zealand. I touched upon the rationale for the Suttons acquisition and that investment sits in the FY '25 Tank Container figures in addition to new tanks in our core business. We also acquired the remaining shares of Avenir in 2025, reflecting our excitement in continuing to capitalize on the growing need for LNG bunkering as announced this week. We are now exploring a partial sell-down of this holding for an additional value creation opportunity while still having commitment to grow Avenir's fleet in the future. Based on project approved to-date, we will reduce our CapEx spend by around $130 million year-on-year while both sustaining our current operations and driving future growth opportunities and innovations. We will see the full impact of these investments over the coming months and years. And I'll now pass on to Jens for the financials.
Jens Grüner-Hegge: Thank you, Udo. And great to see everyone. Good morning to those of you calling in from the United States, and good afternoon to everyone here. As Udo did, I will compare fourth quarter of '25 with fourth quarter of 2024. And just as a reminder, our fourth quarter runs from September 1 through November 30, every year. To reiterate what Udo has talked about, the company's performance is resilient in a challenging environment. But let's dive into the numbers. Now we talked about a lot of transactions that happened in the last 12 months. So since I'm comparing fourth quarter of '24 with fourth quarter '25, we have added a column here to take out the impact or to normalize the impact of the three major transactions, which was the acquisition of 100% of Hassel Shipping 4, 100% of Avenir and now lately also the Suttons acquisition. So comparing those to the normalized with the current -- with the last quarter last year, the drop in revenue was driven by Tankers, reflecting the lower freight rates, which were partly offset by a 6.9% increase in volume following additions to the fleet over the last 12 months. Terminals revenue was flat and STCs was down by about $5 million, excluding the Suttons impact, while Stolt Sea Farms revenue was marginally up. The reduction in operating expenses partly offset the reduction in revenue and was driven by lower TCE hire costs and lower owning costs in tankers. Excluding the impact of Hassel Shipping 4 and Avenir, depreciation expense was only marginally up, and that was reflecting really additional leases that we've taken on and additional terminal capacity that has been delivered and become operational. The equity income from our joint ventures was up substantially, and that was driven by a prior year impairment that we took at HIGAS of about $5 million and past operating losses at Avenir that has since now seen a significant improvement in the operations in the last quarter. A&G expense was up compared to last year, mostly reflecting annual inflation adjustments as well as a consequence of the weaker U.S. dollar because a lot of our A&G expenses are in non-dollar, Euros, Pounds and Asian currencies. Also, last year, we reversed an over accrual for profit sharing in the fourth quarter of last year, which had a negative impact of about $11 million. So you normalize for that, the increase is more normal. Adjusted operating profit for the quarter was, therefore, $88.5 million. That's down from $130.4 million in the fourth quarter last year. And as you can see from the difference between the reported numbers and the adjusted numbers, the acquisition that we talked about contributed about $7 million to that operating profit. And as you can also see, about 40% of the increase in the reported net interest expense was due to an increase in the net debt related to the acquisitions and other capital expenditures that we had during the year. While the rest was due to lower interest income as we reduced the holding of cash on hand compared to last year, and you will see that on the subsequent slide. Other relates to dividends from our equity instruments, so dividends that we have received on investments. And income tax was down, reflecting an insurance-related tax provision taken in the fourth quarter of '24 as well as prior year tax adjustment at terminals, offset by higher taxes at corporate due to improved profitability that we've seen at Avenir and Stolt Sea Farm. And consequently, the net profit for the quarter ended up at $59.6 million, as Udo said, with EBITDA of $186 million. Let's take a look at the cash flow. So cash from operations was down this last quarter, predominantly reflecting the weaker earnings, but still at healthy levels. If you compare to previous years, still a very strong cash-generating quarter. Dividends from JVs were down, but this was offset by positive working capital from the prior year and cash spent -- if we move to capital expenditure, cash spent on capital expenditure was substantially up, reflecting the acquisition of Suttons as well as increased progress payments on our new buildings and as well terminal capital expenditures for the ongoing expansions that we have. Offsetting this was the net cash receipts for repayments of advances from our joint ventures, as you can see. There was a lot of debt activity -- funding activity, and Julian has done a tremendous job in keeping the company with a very strong liquidity position. During the fourth quarter, we raised $297 million in new debt, and that was to refinance expiring facilities and as well to fund the capital expenditures that we have ongoing. And I'm tremendously grateful both to Julian and his team, to the rest of the company has been working hard on making this possible as well as to all our banks and financiers. After adjusting for FX, we had a reduction in cash of $16.1 million, and we ended the quarter with cash and cash equivalents of $144.6 million. If you look at the bottom right of this slide, you see our total liquidity position, which at the end of the fourth quarter was $477 million, that includes revolving credit lines of $332 million, committed lines that is and slightly up from last quarter. I mentioned the significant reduction in cash on hand last -- of the fourth quarter of '24, we had $335 million in cash, which, of course, generated a lot of interest income, and that's why you see that sort of half of the interest expense increase that we saw in the last 12 months. Talking about capital expenditures. During the quarter, it totaled $138 million. That was of course, led by the STC acquisition of Suttons also the ongoing terminal expansions and as well progress payments that we have ongoing on the new-buildings that we have. And therefore, overall, for '25, we spent $511 million on CapEx, slightly below what we had indicated at the previous quarterly earnings release as some of it has been pushed out to 2026. For this year, we expect to spend $383 million with the focus being on tanker new-buildings, terminal expansions, Avenir new-buildings and Stolt Sea Farm expansions. Now expect this to probably change somewhat as the year progresses as it normally does as we commit to new projects, but this should be a good indication of what we expect to spend. And it's slightly down from last year, but we're also coming out of 2 years, '24 and '25, where we had significant capital expenditures. And whereas we intend to continue to invest strategically in our businesses, we also need to focus on integrating our added capacity into our operations for maximized long-term benefit, not only for our shareholders, but also for our customers. Moving over to our debt profile. It here reflects the refinanced debt that is mentioned in the bullet at the bottom right. So there was about $86 million that we have repaid since the end of the fourth quarter. So our current balance for 2026 remains at $351 million. As part of this financing, we also -- since quarter end, since what I showed here in the financials, we also added $145 million in additional liquidity, which is available for further debt reductions, progress payments and other capital expenditures. So we continue having a very strong liquidity position going forward. You see the two orange blocks. Those are the 2 bonds that we have, one maturing in '28 and $150 million, the one that we just did in September maturing in 2030. And if you look at the bottom left of this slide, you can see the increase in gross debt in the first quarter reflects the consolidation of Hassel Shipping 4 and Avenir and then again, a slight increase in the fourth quarter of '25, reflecting the Suttons acquisition, and on average, our interest rates have come slightly down from 5.6% in the previous quarter to 5.39% in this quarter, reflecting general interest movements as well as tightening of margins that we have achieved on new financing. The continued steady performance of the company supports our covenants and covenant compliance. The increase in debt and therefore, net debt to tangible net worth as well as a net debt to EBITDA seen in the first quarter was really -- in the fourth quarter was really due to Hassel Shipping 4 sorry, in the first quarter was due to the Hassel Shipping 4 acquisition, and Avenir. And in the fourth quarter, you can see that same impact from the Sutton's acquisition. Debt to tangible net worth is now at 1.04x. That's well below our covenant limit, which is 2.25x. So we have plenty of headroom, slightly up from the prior quarter where we were at 1.01x. I mean with the lower EBITDA that we have seen in this last quarter compared to previous quarters, the EBITDA fell slightly to $788 million, and with that, we have seen the EBITDA to interest expense go slightly up to 5.6x and the net debt to EBITDA increased from 2.94x to 3.12x, as you can see at the bottom left graph here. So overall, we're in a very comfortable position relative to our covenants, a good liquidity position, a good balance sheet position. So the company is well prepared for what lies ahead. We gave today guidance of $600 million to $750 million and wanted to talk a little bit more about what that entails. So why are we doing this? Firstly, we want to offer insight into our outlook for the year, what we see ahead. We believe it is aligned to the nature of our businesses and our business model to promote a longer-term view of the company, not a short-term quarter-to-quarter, but really give you the longer-term view that we work towards. We also want to facilitate fair pricing of the company as a diverse logistics business rather than as a shipping company. So taking into account everything that we know today, what we believe will happen over the next 12 months, we expect EBITDA for the full year 2026 to be within a range of $600 million to $750 million. Now this guidance is underpinned by a number of key assumptions. As you can see some of them here on the slide, relating both to global macroeconomic picture generally and specific factors affecting the liquid logistics market. And particularly, that there are no substantial geopolitical changes versus what we see today. So we are expecting this to continue. More specifically, the guidance is before fair value of the biological assets, before any gains or losses on sales of assets and other onetime noncash items. And it also excludes any 2026 EBITDA contribution from Avenir LNG. We've taken that out because of the announcement that we made earlier in the week and the consequential de-consolidation that, that will have. So I just want to make sure that everybody understands the basis for our guidance. It does include, however, the potential Suttons integration costs that will be incurred during '26. As such, the guidance is provided -- that we have provided is subject to some uncertainty beyond our control due to the current operating environment that we're in. And with that, I would like to hand it over to Udo, and he will cover the segment highlights as well as the market outlook. Many thanks.
Udo Lange: Let's first start with Stolt Tankers. The chemical tanker markets have continued to soften this quarter as the market uncertainty around geopolitics and tariffs continues unabated. Demand is there and spot volumes, in particular, are elevated, but freight rates are weaker than the prior year. Operating revenue declined by 14% as the rate decline was only partially offset by a 4% increase in operating days due to additions to the fleet. COA renewal rates were down in line with our expectation. And we expect to see the COA ratio increase over the coming quarters. Operating profit was likewise down, predominantly driven by the decline in spot freight rates for regional and Deep Sea, which was largely offset by lower trading expenses and lower time charter expense. However, further impacting the operating profit was higher owning expenses and depreciation and lower joint venture equity income. Maren and her team continue to work hard to navigate this highly complex and unpredictable macro environment with a laser focus on delivering for our customers, and I really want to thank them for all their efforts. Looking more closely at Tanker rates. We are seeing some early signs of rates beginning to stabilize. While the TCE for the quarter was around $24,500 per operating day, showing a decline of 19% year-over-year, on a quarterly basis, the gradient of decline has flattened and TCE was just 1% down versus Q3. As things stand today, we are seeing the usual winter strengthening in crude and product tanker markets, which could be supportive for spot rates within the chemical segments as well. However, at the risk of being repetitive, we are not just a chemical tanker business. We encourage the market to consider our performance across all the areas of our diversified portfolio. And I want to remind you that we have moved to full year EBITDA guidance for the business as a whole. Thanks to Guy and the Stolthaven team who have maintained steady utilization and kept operating revenue stable year-on-year in an uncertain market. EBITDA saw a modest decline of 4% with operating profit down 8% with these declines driven by investments in IT alongside some inflationary impacts and slightly less equity income from our joint ventures. Looking ahead, we expect the storage markets to remain stable, notwithstanding some caution and delayed decision-making on tank rental commitments from our customers. And so Stolthaven Terminals will continue to focus on optimizing margins and utilization. In response to the challenging demand drivers for storage, we are actively adopting our approach to specific market dynamics to better adapt to local conditions, and our investments in additional capacity at existing sites in the U.S. will start to come into play towards the end of the year. We expect to benefit from additional capacity in Houston and New Orleans coming online in a staggered fashion during Q3 ramping up and reaching full effect in 2027. The tank container market continues to be challenging. And in this context, Hans and his team have done a great job to drive revenue at Stolt Tank Containers up $5 million or 3%. This result has been driven by stronger shipment volumes, which offset the impact of lower ocean carrier freight rates. EBITDA and operating profit declined due to lower transportation margins and cost inflation. I now want to cover our view of the market and concluding remarks before we open for Q&A. This time last year, we spoke about the impact of geopolitical events on global trade flows. We highlighted a number of areas of macro uncertainty and discussed how these might play out through 2025. Today, the list of macro factors driving global uncertainty remains similar with the addition of two factors affecting our underlying markets. Geopolitical risk has not abated. Whilst we see some international players starting to selectively transit the Red Sea, there appears to be no clear resolution on events in the area, and we see new risks in international relations, especially in the Middle East. Risks and opportunities related to global tariffs and sanctions remain with trade policy changes impacting customer sentiment. The shadow fleet continues to impact around the edges of our markets and fluctuations in the crude oil market continue. We also continue to face a subdued global chemical market, which is struggling from production-underutilization. The timing of new build deliveries will also have a supply side impact over the next 2 to 3 years. In the face of these risks, we are well positioned to continue to deliver our value proposition for our customers across the supply chain. We are laser-focused on this, planning strategically and operationally so that we can be flexible and react with agility to macro events. We have strong relationships with our customers, and we are working closely with them to navigate these challenges and keep liquid chemicals moving around the world. Despite these market risks, supply and demand fundamentals are currently supported by a tight MR market. GDP growth is expected to be around 3%. Seaborne trade growth is expected to be muted this year with a return to growth expected in 2027. We are watching developments carefully with some caution, but we expect volumes to remain relatively stable year-on-year. MR rates have been trending gently upwards through 2025 and are predicted to remain at a high level, which has typically kept them operating in the CPP market, limiting the potential for swing tonnage in our market. As mentioned previously, we do expect some new-builds to enter the market in 2026 and 2027, and this creates some uncertainty on the supply side. However, the aging global fleet means that there remains high potential for retirements of vessels to manage global supply if necessary, with around 30% of tankers aged 20 years and older by 2027. To wrap up, we are focused on leveraging our diversified logistics businesses to steer them through global supply chain complexity and delight our customers by executing our liquid logistics strategy. To support both our core liquid logistics businesses and explore new opportunities and innovations, we are positioning ourselves for long-term growth through targeted strategic investments. We invested strategically through 2025 and will continue to do so through 2026. This disciplined capital allocation strategy translates into balance sheet flexibility and headroom to meet all our obligations. Our investments will convert into EBITDA-generating assets given time. And despite the market turmoil continuing, we expect the full year EBITDA to fall within a range of $600 million to $750 million. As we look to the year ahead and beyond, our strong strategic foundations position us well to navigate future challenges and opportunities. Our people, clear purpose and diverse portfolio provides the resilience and quality required to deliver long-term value for our shareholders, customers and other stakeholders. Thank you for your attention, and I will now pass you back to Alex for Q&A.
Alex Ng: Thank you very much, Jo. So we will start Q&A with questions in the room. [Operator Instructions]. Thank you very much. And then we'll take questions from the Internet as well. Please?
Unknown Attendee: Just on the guidance, you did mention on the '25 results, the split between tankers, non-tankers. You have a bit of a range in your '26 guidance. Can you give some color on your expected split and also perhaps on the sort of which segment is going to cause that variance in the range?
Jens Grüner-Hegge: Okay. So if you look at the other businesses, the non-tanker businesses, they tend to be more stable. We know that there's a cyclicality in the tanker markets. Now looking at the performance that we've seen so far through the year, the third and the fourth quarter of 2025, we saw that was pretty stable from quarter-to-quarter. The reduction was really early in the year. Going forward, we mentioned also that we see that there is a certain short-term floor because we've seen the strengthening in the MR markets recently, which is lending some support. But I think it's worthwhile noting that as we get into the second half of 2026, you will see more of that order book that we showed being delivered. So we see more of a risk in the tanker market as you get into the second half than in the first half. And we know that these new-buildings will be delivered sort of second half '26 into first half of '27. So if you take that into consideration of what we saw in the fourth quarter, I would expect for the next few quarters that mix to be relatively stable with the exception of capital expenditures becoming operational. And that will be gradual. Again, I think most of that we expect to happen also towards the second half of the year when we're looking at the terminals business. So you'll probably start seeing more of a non-tanker growth in EBITDA in the second half of the year and potential challenges for the Tanker segment in the second half of the year. So you will start seeing that balance shifting towards more non-tanker business. Did that answer your question?
Unknown Attendee: Yes, that's really good color. Also on the Red Sea, sort of -- this is a tricky one, but at what point do you expect to return? I mean there's a lot of talks about Maersk now entering the Red Sea again. What's sort of your point of action on entering the Red Sea?
Udo Lange: Yes. So I can take that. So of course, chemical tankers is among the most risky vessel-type that you can navigate through the Red Sea, because a drone attack on that hitting the wrong tank has a significant bigger impact than when you have a conventional ship. So we are really very, very cautious, and we monitor that. So of course, it's good to see that Maersk is taking that effort, but we normally look really more towards the tail-end. And of course, what's currently going on in the Middle East and the U.S. fleet coming in. So we don't expect this to happen anytime soon.
Alex Ng: Any additional questions in the room? Okay. Then we will move to the questions coming from those online. There's a couple of themes that maybe we can club together. I think the first one really goes to our liquid logistics strategy. So maybe one for you, Udo. How successful has the liquid logistics strategy been so far with customers?
Udo Lange: Yes, I would say I'm really excited about how it latches more and more on. And that, of course, has to do with the increasing complexity globally. So if I take the amount of strategy sessions that we have now with customers versus 2 years ago, it's a complete different ballpark. But it has also to do with the capability that we are building in our own team. So of course, this -- remember, we come from very strong three divisions and now they need to collaborate more together, more and more people need to understand how do I really position all of Stolt-Nielsen in front of the customer. And that is really remarkable to see how deep that actually goes. So we have now not only sessions where we look at large customers, we also look at sessions that we have with medium, with small customers, and we do this around the whole world. So it's pretty exciting. The development is really exciting. And we are getting better and better at it and the customers appreciate it actually more and more. And we see most important, of course, it's not the activity, and we see business out of it. So we have met a customer that didn't have Tank Container business with us before talked about the whole portfolio, and we got Tank Container business. Met another customer we were very small on the tank container side. So the beauty is because we are market leading really in all 3 segments, each of the businesses is actually strong also with different customers. Sometimes it's the same, sometimes it's different ones. And it allows us to take our strong relationship and then introduce the other businesses as well. And don't forget what is also unique is, we are the only player who has end-to-end shipping where we have a deep sea fleet, we have regional fleets and we have barging fleets. And then we have terminals and then we have tank containers. And now the Suttons, we even have gas and short sea and China domestic. So that's just really beautiful because you just we have one page now where we put this all together and you sit in front of sea level. And they, of course, not necessarily know Stolt-Nielsen, but then they are like, "oh, that's really interesting. You're building a terminal right now in Taiwan, and we need to talk about our Southeast Asia logistics strategy". Maybe how can that all come into a hub-and-spoke system. And so that's really nice how the capability that we have, A, add value for the customer, gives us more business, but also how our organization is more and more capable to position this.
Alex Ng: Questions for you, Jens, related to how we triangulated the EBITDA guidance. And the first one was, can you share any information from what the EBITDA contribution was from Avenir in 2025?
Jens Grüner-Hegge: Yes. If you look at -- it's related to the guidance, it might be more relevant to us what we're expecting there. But '25 was a transition year for Avenir. As you will have seen in the comparison with '24 was that it was a -- 2024 was a drag. We've seen that turn into an improvement, a positive contribution. For '26, you're looking at about mid-$20 million EBITDA contribution that would be expected. And with this separation out, we are actually looking to be able to grow that faster than what possibly could have done on our own. So it is a -- it's about mid- $20 million in 2026 in the number if you want to have that in the back of your mind when you look at the guidance.
Alex Ng: Thank you, Jens. And then another question related to guidance. You mentioned that Sutton won't contribute EBITDA until 2027. But do you expect it to be EBITDA-negative during '26 or just close to breakeven?
Jens Grüner-Hegge: If we look at the year overall, our expectation is it won't be a drag. It will -- the benefit that we get from the additional volume, the additional tanks, there will be some integration costs as we -- as there always is with an M&A. But we expect a neutral impact in '26, and then we should see that really start taking off in '27.
Udo Lange: Yes. I think on the base business, but of course, the integration cost year-over-year, it is a drag.
Jens Grüner-Hegge: The cost is there, so yes.
Alex Ng: A question related to strategy. Avenir is you announced the partial sale of that asset. Can there be any read across to whether Stolt Sea Farm will be on the table in order to clarify the strategy around liquid logistics?
Udo Lange: No, these are completely two different strategic conversations. So you know we are since more than 50 years in agriculture. We are the market leader in the premium segment. And the business is developing quite nicely. We are investing. We are super happy with the returns that we are seeing. What is different on Avenir, remember, we had a joint venture and -- but we also realized that while we believe in the strong future of that market, that the other partners were -- for them, it was less strategic. So we then remember, we acquired 100% for Avenir, but well knowing that, that, of course, would have a significant capital expenditure exposure for us. So -- but we felt we believe we can grow in this market. But then at the same time, of course, we also looked at, well, now let's look for strategic partners where we then really can join forces and actually stronger lean into that market without actually dragging down our balance sheet too much. And so one of the key reasons, of course, you see also that our CapEx goes down year-over-year by $130 million is, well, we will benefit from the growth in the LNG market, but we are not as heavy exposed anymore in this segment. So two very, very different strategies. So Sea Farm is core to us and Avenir is an opportunity for us to capture a nice market together with a strategic partner.
Alex Ng: And then the final questions we have on the -- for now relate to the CapEx that you talked about and the expansions, Udo. First question is related to Stolthaven. How should we quantify the investments in terminals in relation to added capacity and how it evolves over the year?
Udo Lange: Jens, why don't you take the Stolthaven?
Jens Grüner-Hegge: Yes. So we talked a bit about the different investments that we have ongoing in Stolthaven. We have the terminal in Taiwan, which is about to become operational, and that will have a positive impact as we go into 2026. We have the expansions that are ongoing in Houston and New Orleans, where we're adding about 170,000 cubic meters combined, and that will start coming on as we get into the third and fourth quarter of 2026. So you probably won't see much of an impact in this year, but it will come and be fully operational and have a full impact as we get into 2027. The other projects that we have sort of like the Turkey project, that's a long-term investment that will come in later years. It's a joint venture structure. So you will see that not necessarily in consolidated fashion, but more in an equity income from a joint venture in future years.
Alex Ng: Thank you, Jens. And then the final question is, if we could share the delivery schedule for the new-builds in Tankers. Maybe I can just add a comment there. So we expect the first vessel to be delivered towards the end of this year. It's kind of on the edge of this year or next year, but it gives you an idea on that delivery. And then during the course of 2027, there will be a further additional 9 ships. And then in '28, there will be approximately 3 ships, and then the final one is due for delivery in 2029. So hopefully, good for your models. That concludes all of the questions. So thank you very much. We'll post a recording of this call on the website tomorrow. Udo, back to you.
Udo Lange: Thank you very much for joining us today, and I look forward to talking to you again when we present our results in the first quarter of 2026 in April. We continue to be very excited about the business. We launched our strategy 2.5 years ago. We are executing nicely on the strategy. And I think you can see the benefits for our shareholders, our customers and our people as well. So thanks for all your support, and wish you a nice day.